AMR Corporation (AMR):
Operator: Ladies and gentlemen, thank you for standing by. Good afternoon and welcome to the AMR second quarter 2010 earnings conference call. At this point, we do have all of your lines on a muted or listen-only mode. After the executive team’s presentation today, there will be opportunities for your questions. As a note, we will be taking questions first from the members of the analyst community and then after a short break move in to our media Q&A session. As a reminder, today’s call is being recorded. We are very pleased to have on the call with us today AMR Chairman and Chief Executive Officer, Gerard Arpey and President AMR and American Airlines, Tom Horton. And here are the opening remarks as AMR Managing Director of Investor Relations, Chris Ducey. Please go ahead.
Chris Ducey: Thank you. Good afternoon, everyone. Thank you for joining us for today’s AMR earnings call. During the call, Gerard Arpey will provide an overview of our performance and outlook and then Tom Horton will provide details regarding our earnings for the second quarter along with some perspective on the third quarter and the remainder of 2010. After that, we’ll be happy to take your questions. In the interest of time, please limit your questions to one with a follow up. Our earnings release earlier today contains highlights of our financial results for the quarter. This release continues to provide additional information regarding entity performance and cost guidance which should assist you in having accurate information about our performance and outlook. In addition, the earnings release contains reconciliations of any non-GAAP financial measurements that we may discuss. This release, along with the webcast of today’s call, is available on the investor relations section of aa.com. Finally, let me note that many of our comments today, including statements regarding our outlook for revenue and cost, forecasts of capacity, traffic, load factor, fuel costs, fleet plans and statements regarding our plans and expectations, including our expectations of the benefits of alliance activities and our expectations regarding industry labor costs will constitute forward-looking statements. These matters are subject to a number of factors that could cause actual results to differ from our expectations. These factors include changes in economic, business and financial conditions, high fuel prices and other factors referred to in our SEC filings, including our 2009 annual report on Form 10-K. And with that, I’ll turn the call over to Gerard.
Gerard Arpey: Okay. Thank you, Chris. Good afternoon, everyone. As you have seen in our press release this morning, we reported a significant adjustment in our second quarter financial results both year-over-year and compared with last quarter. In spite of fuel prices that were much higher than a year ago, we substantially reduced our net loss to about breakeven compared with the net loss of $390 million in the same period last year. This represents an improvement of about $380 million versus a year ago and is nearly $0.5 billion better than our first quarter results. Clearly, though, there is a lot more work to do but the fact that we generated our first operating profit since the third quarter of 2007 demonstrates considerable progress and indicates that we are headed in the right direction. Tom will walk you through our results in more detail in a few moments but first let me highlight several key developments that will position us for continued progress. Today, as you’ve seen, we announced several changes to our senior management team as we position our company to capitalize on the momentum of receiving antitrust immunity across the Atlantic and in anticipation of similar immunity in the Pacific. I’m very pleased to say that Tom Horton has been promoted to President of American Airlines. With his expanded responsibilities, Tom will oversee the finance, planning, sales and marketing, customer service and information technology organizations in our company. There are several other officer changes as well which you can read about in the press release but suffice it to say we have an opportunity to create great benefits for our customers, opportunities for our front line people and value for our shareholders. And we are realigning and consolidating our internal resources to make sure we do just that. I think all of you know that Tom and I have worked together for many, many years and since recruiting him back to American from AT&T in 2006, he has been instrumental in helping us navigate through some of the most difficult times in our history and positioning us well for the future. So, I’m really excited to continue working with him and the strong team that we have assembled to support him and again you can read all about that in the press release. But I would like to mention that one of those key support members is Bella Goren, who is also joining us today and of course all of you remember Bella from her IR days, but she has been quite busy on the marketing side of the company since then. And I know you’ll all be looking forward to working closely with Bella again. As I just referenced, within the last week we obtained clearance from the European Commission and approval by the Department of Transportation respectively for antitrust immunity with British Airways, Iberia, Royal Jordanian and Finnair as well as our plans to operate a trans-Atlantic joint business with British Airways and Iberia. In coming days, we will begin implementing our immunized alliance across the Atlantic and we have a great team ready to execute under Tom’s leadership. We’ve been waiting, as all of you know, for quite some time to get to this point so we are eager to get started to say the least. We’re also moving forward to further expand American’s alliance footprint and we have announced the next step in our growing relationship with JetBlue. In coming months, American customers will be able to earn advantage miles for flights on JetBlue, improving the customer experience for travelers who connect to American from JetBlue flights. Our JetBlue relationship coupled with our own enhanced service to key Kennedy New York markets and our world class terminal at Kennedy, we believe positions us for long-term success in what is today’s the world’s largest travel market. So, we’re excited about the progress we’re making in New York. Today, we also, as you read, we took the next step in our fleet renewal plan by exercising rights to purchase 35 more Boeing 737-800 aircraft for delivery in ‘11 and ‘12. This is in addition to the eight 73s we already have on order in 2011. These are, of course, replacement aircraft and given our fleet composition we still have, of course, the option to curtail capacity depending on economic circumstances as we move forward. We have talked about in the past and continue to firmly believe that one of the keys to continued recovery in our industry is that overall industry capacity should not grow faster than gross domestic product here in the U.S. or anywhere in the world for that matter. Finally, let me just briefly touch on labor negotiations. We’re making progress as demonstrated by the tentative agreements we reached in the second quarter with a number of employee groups represented by the Transport Worker’s Union. We believe these agreements strike the right balance between our folks’ understandable desires for short-term improvement and our company’s need for cost competitiveness which is the only way to provide for long-term job security. Those agreements, of course, need to be ratified by the TWU members and that will occur in the future. We are also continuing to work in good faith with our other organized labor groups to reach responsible agreements. And with all of that said, I will turn things over to Tom to take you through the results.
Tom Horton: Thanks, Gerard, and good afternoon everyone. The second quarter was one of significant improvement for AMR. We posted a small loss of $11 million. This compares to a loss of $319 million, excluding special items in the second quarter of last year. We had special items totaling $70 million in the second quarter of ‘09 and no special items this year. So, please refer to the press release for details of these items and for the remainder of the call. I’ll exclude the impact of special items to more accurately reflect our performance on an ongoing basis. We improved our net results by over $300 million versus last year and by almost $450 million versus last quarter. And that’s despite having paid over $330 million more for fuel in the second quarter than we would have paid at last year’s second quarter prices. We also recorded an operating profit of nearly $200 million, our first operating profit in almost three years since the third quarter of 2007. Of course, we are far from satisfied with these results. Losing money is not acceptable. But we believe the improvement we’re seeing indicates that we’re headed in the right direction and we’re determined to build on our progress and return to solid profitability. During the second quarter, we outlined our road map forward. And I would like to briefly summarize the steps we are taking to improve our performance. First, looking at revenue, we’ve said that our future depends on the power of our network and we’re taking steps to build on the double-digit revenue growth that we posted this quarter. We estimate that we’ll see an aggregate of over $500 million in revenue improvement and cost savings from network realignment and alliance activities. We expect to realize most of this improvement in 2011 and reach the full run rate by the end of 2012. This estimate includes the impact of our recently launched cornerstone strategy, focusing our network assets on the four largest metro areas in the U.S., New York, Los Angeles, Chicago and Dallas-Fort Worth and of course, Miami, the hub of the Americas. During the second quarter, we added flights in Chicago and New York and yesterday we implemented our commercial agreement with JetBlue, adding connections for our customers through both New York and Boston, to 14 of American’s international destinations and 18 JetBlue markets domestically. We also announced the next step in our relationship with JetBlue. Customers will soon be able to earn advantage miles on JetBlue flights and TrueBlue points on AA flights covered by our agreement, further enhancing our customer proposition, particularly in New York where both American and JetBlue are strong. At the same time, we are continuing to move additional service to our cornerstone markets. In fact, just this month we launched two class service using CRJ 700 regional jets from New York La Guardia to Atlanta, with plans to add similar two class service to Charlotte and Minneapolis as well as other markets in coming months. By the end of this year, we estimate that nearly 98% of our total capacity will be focused in our cornerstone markets. And of course, more importantly a big component of our expected revenue improvement in cost savings estimate comes from our joint business with British Airways and Iberia which was finally approved just yesterday. We forecast that our combined trans-Atlantic business with initially over $7.5 billion in revenue. And together we’ll be able to offer co-ordinated service to over 400 destinations in more than 100 countries. We’ll also be able to better align our schedules to provide more efficient connections, expand opportunities to earn and redeem frequent flyer miles and offer more choices for our corporate customers. Additionally, our teams, including sales, pricing and marketing, will be able to coordinate activities within the join business, resulting in a combined entity we expect that will be much more than the sum of its parts. And we plan to do the same with Japan Airlines once our proposed trans-Pacific joint business is approved which we expect later this year. We’re also looking forward to launching New York to Haneda service in early 2011 after construction is completed to expand Haneda’s capacity. With its convenient location, only about 20 minutes from central Tokyo and as a major hub for our partner JAL, we see a lot of potential at Haneda. As Gerard mentioned, we’re moving aggressively to bolster our already strong alliance portfolio both by strengthening our current relationships and by adding new partners in key markets. With our oneworld partners, we’re working together to enhance and expand our alliance in key regions with quality carriers. And we’re looking forward to welcoming F7 in Russia and Kingfisher in India into our alliance. At the same time, American is working with our bilateral partners such as GOL in South America to deepen our partnerships and improve the customer benefits we offer. We’re also working to enhance the customer experience, particularly for our premium customers by upgrading the interiors and seats of our original Boeing 737-800 fleet to match the new airplanes currently being delivered. We’re renovating select Admirals Clubs, including most recently our clubs in London Heathrow and Boston and focusing on faster premium bag delivery. We are also rolling out technology to make getting through the airport more efficient. We now offer our customers the ability to use mobile boarding passes on smart phones at over 40 airports and we recently added international destinations to our online check in product on aa.com and those are just a few examples. Our road map to improved results also covers costs. As we head in to the third quarter, we anticipate essentially flat unit costs excluding fuel. And we also estimate that we’ll improve our year-over-year unit cost excluding fuel in the fourth quarter. While this is a step in the right direction, we’ve said before that our labor costs are the highest in the industry. That has mostly to do of course with our status as being the only big network carrier not to have filed for bankruptcy. But that’s the past and we’re focused on the future. Let me summarize why we think this gap will be mitigated going forward. Based on our analysis of airline industry labor contracts, we estimate that we have an annual labor cost gap of nearly $600 million on average versus our network competitors. Since most of the industry’s major contracts are now amendable, we believe the GAAP will start to close as the industry works through this contract cycle. There is evidence of the cost gap closing significantly this year with our largest competitor, Delta. And of course as United and Continental work to combine their companies over the next couple of years, they’ve indicated that employees will share in the benefits of their proposed merger. We expect this will drive increased labor costs for the new United. That said, we’re not waiting for the world to change around us. We’re working hard to achieve fair, responsible and competitive labor agreements, that is the path to the most opportunity in job security for our people. As we do and as the labor costs of other carriers increase we think our current cost gap will continue to narrow. Let me briefly discuss our second quarter results and I’ll start with our revenue performance. In the second quarter, mainline unit revenues increased almost 17% on about 0.5% less capacity. Load factors were up two points with yields up 14%. Our consolidated passenger unit revenue also increased by close to 17% for the quarter. This is important progress as we work to regain the ground we lost during the great recession of 2008 and 2009. Up until the first quarter of this year, our unit revenue growth outpaced the competition for seven straight quarters. While that won’t be the case in the current quarter, it’s important to keep a couple of things in mind. First, since we outpaced the industry last year, we are starting from a position of strength, making our comparisons more challenging. To put this in perspective, in the first quarter on an absolute basis, we continued to post better unit revenue results than our competitors. As you look at any specific quarter’s results, it’s also important to keep in mind the impact of differences between geographic regions, particularly those areas where our network is focused versus those of our competitors. For example, we saw particularly high unit revenue growth in the second quarter in Europe and China markets, 28% and 38% respectively. These markets are rebounding from the hard hit they took in last year’s downturn. And our relative share of capacity in those regions is less than that of our large U.S. network competitors. On the flip side, we’re uniquely large in Latin America and the Caribbean where our unit revenues remained strong on an absolute basis, but increased less year-over-year than other international regions, posting growth of about 14%. Within Latin America, we saw unit revenue growth of about 21%, in Central and South America, while unit revenues actually fell in the Caribbean which was a pocket of strength for us last year. So, on average, our geographic mix affects our unit revenue comparisons to the industry this quarter. Domestic unit revenues improved by about 14.5%, while overall international unit revenues increased by almost 21% versus last year. Domestically, we saw improvement in all of our cornerstone markets while the Atlantic and Pacific entities were particularly strong. In terms of corporate travel, we’re continuing to see positive signs. For the quarter, we saw significant increases in our corporate revenues that far outpaced our first quarter year-over-year improvements. In particular, we have continued to see strong corporate yield increases that are continuing to improve on a year-over-year basis. We are also pleased that we are maintaining our share premium versus the industry in this channel. We are also continuing to see fewer fare sales and at the same time, the industry is having success in raising fares. In particular, we’re seeing strength in international markets where about 70% of the more than 20 fare increase attempts this quarter were successful. So, in summary, we’re very focused on our short-term revenue performance and we are seeing good improvement versus last year’s results. And our strategy is to build the strongest network in the most important places for the long-term and we’re executing on that plan. Looking forward, our advanced bookings are up about one percentage point versus last year with domestic flat and international up about 2.5 points. Importantly, we are seeing strong bookings across the entire quarter particularly in September. On the regional front, quarterly revenue increased about 17% versus last year. Our regional capacity was up 2.5% for the quarter and regional unit revenue was up over 14%. Our cargo revenues increased over 27% versus the second quarter of last year. Cargo traffic was higher by almost 20% and freight yields showed double-digit improvement. In our other revenue, we saw year-over-year improvement of over 10% as we saw continued strength in baggage and AAdvantage partner revenues. We are focused on growing our revenues by increasing the variety of customized product options we offer our customers. And in the second quarter, we introduced Your Choice, a package of services that allows customers to join the first group of general boarding, receive discounts on flight changes and standby for earlier flights. We are also very pleased with the early returns we’re seeing on our new Mileage Multiplier product which allows customers to double or triple the miles they earn by purchasing AAdvantage bonus miles for eligible flights. Shifting to costs, our second quarter unit costs, excluding fuel, rose 3.5% for the main line and just over 3% on a consolidated basis. Driven by head winds related to airport and facility cost increases, revenue related expenses and the impact of reduced capacity due to cancellations as a result of the Icelandic volcano eruption earlier in the quarter. Fuel prices increased during the quarter to $2.37 a gallon consolidated, up about 25% versus last year. Consequently, we paid over $330 million more for fuel in the quarter than we would have at last year’s prices. And these higher fuel prices drove total consolidated unit costs to be almost 9% higher versus second quarter of last year. For this quarter’s call, I’d like to direct you to our press release for more information on debt, cash position and fuel hedging as well as capacity and cost guidance. These items are generally in line with previous trends. But first let me point out a couple of highlights. In terms of our cash, we ended the quarter with over $5.5 billion in cash and short-term investments including a restricted balance of about $460 million. A year ago, we had $3.3 billion in cash and short-term investments including a similar restricted balance. Due to recently passed legislation, we’re also reducing our estimated 2010 cash pension contribution from $525 million to approximately $460 million. Looking at our cost guidance, we now expect full year unit costs excluding fuel to come in at just over 1% higher than 2009, slightly better than our previous cost guidance. This guidance does not include the impact of the tentative agreements we’ve reached with the mechanic and related and other employees represented by the Transport Workers Union. If these agreements are ratified, our full year unit costs will increase slightly, ending up in line with our previous guidance of an ex-fuel unit cost increase of 1.5%. The increased costs are largely the result of the signing bonus and wage increases included in the agreements. If the agreements are ratified, we anticipate implementing productivity improvements, consistent with the agreements that will help us to offset the ongoing cost of salary increases. In the second quarter, our principal payments on long-term debt and capital leases totaled about $175 million. We expect 2010 principal payments on long-term debt and capital leases to total about $1.1 billion, with approximately $390 million of this amount coming in the third quarter. We continue to take a measured approach to our capital spending. Our CapEx for the second quarter totaled about $410 million, including approximately $50 million of non-aircraft CapEx. For the full year 2010, we expect – we continue to expect about $2.1 billion of total CapEx, including approximately $1.8 billion in aircraft CapEx, all of which is financed. These estimates include the impact of today’s fleet announcement. So, to wrap up, while we’re disappointed to report a small loss, we are encouraged by the sharp improvement from last quarter and from last year. This quarter was one of significant progress and we expect that the steps we’ve outlined will continue the trend of financial improvement. So with that, Gerard and I are happy to try and take your questions.
Operator: Thank you. And in the interest of time, ladies and gentlemen, we do ask that you limit yourself to one initial and one follow-up question. And our first question will come from the line of Gary Chase with Barclays Capital. Please go ahead, sir. Your line is open.
Gary Chase – Barclays Capital: Hi. Good afternoon, everybody and congratulations to Tom and Bella, if she is in the room.
Tom Horton: Thank you.
Bella Goren: Thank you.
Gary Chase – Barclays Capital: Wanted to see Tom if I could get you to elaborate a little bit. I mean, you noted the improvement that took place through the quarter. As we look at the monthly data points we get from the ATA and some of other carriers that it would definitely seem that your relative performance improved as we progress through the quarter, you know, noting all the things you mentioned that sort of hindered your year-over-year comps versus the others. But that relative performance really did seem to accelerate, wondered if you could just elaborate on whether or not that’s accurate and what you think is the driving force behind it?
Tom Horton: Gary, I think it is accurate. Rising growth in July was a whole lot more than it was in the first month of the quarter, in June rather and so – and even looking into July now, it looks pretty positive. And I think it is – we are now at the point where we’re starting to see some of the benefits of our network realignment. We really started that realignment of the cornerstone strategy in April and though we have been talking about it for a long time it really began in April. So, we’re beginning to see some of the benefits of that. We’ve added, as part of that, a fair bit of flying into Chicago and so we have a lot more connecting opportunities there and as a consequence we’ve seen our unit revenue performance in Chicago pretty significantly outperforming our overall unit revenue performance. That’s one data point and it’s early days. But, I think we’re beginning to see some of what we expected with the network realignment. So, we think we’re on track to the $0.5 billion plus revenue improvement that we talked about to you last quarter as a result of cornerstone and the alliances and of course, as we begin to implement the joint business with BA and Iberia, later on this year, I think you’ll begin to see more and more of that take effect. So, we’re really excited about that.
Gary Chase – Barclays Capital: And I was referring Tom obviously, I mean, the whole industry saw better revenue in June than April. I guess I was referring to even your relative performance versus the industry seemed to accelerate through the quarter and presumably that’s what you’re referring to.
Tom Horton: That’s right.
Gary Chase – Barclays Capital: Just also – just as a follow up on the aircraft orders, any input on what those are going to be for ‘11 and is this just sort of the beginning? I mean, should we be thinking that you’re going to look to replace that entire fleet over some period of time, let’s say, five years or something like that and that we’ll just sort of see a continual exercise of options looking forward?
Gerard Arpey: Gary, let me jump in there and say that – and Tom can add anything he’d like. I think the total deliveries for next year will be 15 and then 28 in the following year. And part of our thinking here, Gary, is buttressed up against our capital structure considerations and trying to be very prudent about the timing of commitments and the backstop financing that we have in place to cover those deliveries. We may or may not actually use that backstop financing, but given the volatility that we have experienced the past couple of years, we are very mindful of that volatility and protecting our downside. So, I think that’s a long winded way of coming at answering your question by saying yes. I think the expectation is that we want to continue with that drive to replace our MD-80s. But we’re going to pace it from a balance sheet standpoint where we feel really good about protecting our downside in any risk from volatility.
Gary Chase – Barclays Capital: Okay. Thanks, guys.
Gerard Arpey: Thank you, Gary.
Operator: Thank you. Our next question is coming from the line of Michael Linenberg with Deutsche Bank. Please go ahead. Your line is open.
Michael Linenberg – Deutsche Bank: Yeah. The cash contribution to the pension plan, Tom, that comes down. How does that compare to the pension expense for the year?
Tom Horton: Pension expense was larger. It’s about 6 – it’s about 650 million.
Michael Linenberg – Deutsche Bank: Okay. Okay. And then my next question and this is just to the both of you, you are moving into some of these markets like Charlotte, Atlanta, Minne, you’ve been there before, you’ve pulled out of them, what makes you think it will work this time? I mean, is it just maybe the right sized airplane on the right cost platform? Any – if you can just elaborate on that, that’d be great.
Gerard Arpey: Michael, I’ll say that I think that we’ve got a better mix of airplanes to utilize at this point. And I think also and I think this will be more and more important in the months and years ahead, that we’ll begin to leverage the power of our global partners more effectively domestically. So a lot of these markets that we’ve tried in the past are pick any market from New York, to a city in the U.S., we’re going to be much sharper going forward in terms of connecting our international partners’ flights to those trips as well. So, we’re going to be bringing more fire power to bear on those domestic segments. So, I think we’ve got a very good shot at making these flights work in the future.
Michael Linenberg – Deutsche Bank: Okay. Very good. Thanks.
Gerard Arpey: You bet.
Operator: Thank you. Our next question is from the line of Kevin Crissey with UBS. Please go ahead. Your line is open.
Kevin Crissey – UBS: Hi. Thank you. And you guys talk about the $600 million cost gap that’s going to close due to the new contracts. How much of that is structural, not related necessarily to the contracts but maybe to the structure of the way you have insourced versus outsourced, basically maybe some lack of optimization in terms of maybe you guys having too many employees overall so that just the contracts alone won’t close that $600 million gap entirely?
Gerard Arpey: Kevin, we tried to be real careful on that calculation in taking, effectively the way we’ve done the math is taking the other airlines’ labor contracts and if we had those contracts at American and we had whatever behavior that we have at American that you describe, but we had their contracts, how much money would we save and then we weight that by the size of those carriers. So, in the case of U.S. Air, that’s probably the greatest gap and I don’t have the numbers in front of me but – their labor contracts, we would and we put them on American Airlines across all of the labor groups, we’d probably save over $1 billion a year. But the reason the numbers that Tom has reported and I talked about are smaller than that is we weight all of the network carriers that went bankrupt by their size and that’s the weighting we give their contracts as it would be applied to American Airlines. So, I think that the $600 million is a weighted average cost burden that we bear as the only network carrier not to have filed. And again, our hypothesis is that we’re going to continue to work in good faith, cut responsible agreements with our unions and that all of the network carriers in the next 24 months are going to go through the same funnel. And that when we all come out of that funnel, ultimately the market is going to be brought to bear on all of these companies and the market will determine wages and benefits in this industry just like it largely does other industries. And then, I think, the extension of that is that then carriers aren’t competing on the basis of whether they’ve got bankrupt labor rates or not. They’ve got same will have more level input costs and thus have the same motivation to price the product appropriately. And so that would be my take on that number and Tom you can add any color that you like.
Tom Horton: No. I think that’s right just to put a fine point on it it’s all contractual to your question, Kevin.
Kevin Crissey – UBS: Okay. There are – are there opportunities for other types, I know you’re talking about the regional sale, but in addition to that? To maybe change the structure of your relationships?
Tom Horton: Well, we are considering the sale of or separation of American Eagle and we described the rational for that in the past and we put that deal on the back burner because of the oil price increase and the reduction capacity. All the reasons we described for wanting to do that remain in effect and we’ll continue to take a look at it. We do that could be in the best interest of the AMR shareholders in the long run.
Kevin Crissey – UBS: Okay. One question on your case-mix fuel. Am I right in saying that your guidance would imply something around 3% reduction in main line case-mix in Q4 and if that’s true, looks like the comparison is maybe 1% easier or something. But why is that fourth quarter – what is it about fourth quarter that gets you so much improvement relative to the other quarters this year in terms of the cost?
Tom Horton: We’ve got a lot of cost initiatives underway that are beginning to bear some fruit later in the quarter. Let me just check your number and make sure it’s right.
Kevin Crissey – UBS: Yes.
Tom Horton: Yes. It looks like its better by closer to 4% than 3%.
Kevin Crissey – UBS: Okay.
Tom Horton: So, your math is roughly correct. And in terms of cost, we’ve got a lot of things underway on productivity side. We’ve got some technology initiatives coming online. If you look at the capacity, of course, across the year, capacity ticks up a little bit later in the year and the confluence of all those things together leads to a little bit better cost performance than we had last year. So, we feel pretty good about that.
Kevin Crissey – UBS: Okay. Great. Thanks.
Tom Horton: Thanks.
Operator: Thank you. Our next question’s from the line of Mark Streeter with JP Morgan. Please go ahead, your line is open.
Mark Streeter – JP Morgan: Hi. Two questions, one for Tom and one for Gerard. First Tom, I’m wondering if you can talk a little bit about liability management and sort of how you’re managing that going forward, as you know, your credit continues to trade at pretty significant discounts to peers. I think people are looking at your 2011 and 2012 debt maturities over $5 billion, yet you’ve got $5 billion of unrestricted cash now and I think most people are on board that the industry cycle has turned here? So, I’m wondering, are you thinking about maybe going out and trying to extend maturities or can you give us some color about that $5 billion in debt coming due? How much of that might be related to aircraft that can get refinanced because, I mean, the market has heard the message that you don’t want to file for bankruptcy, but your credit prices don’t reflect that and I’m wondering if you can maybe go on the offensive or do something about that?
Tom Horton: Mark, we obviously think about all of those things but we tend not to talk too much about it because that wouldn’t be very sporting if we did. So, we do think about those things and if we see opportunities that we think can be accretive to our shareholder, we’ll do it. We do have some debt maturities coming up next year, as you know. And we think we have well provided for that in some of the financing activity that Bev Goulet and her team were successful on in the last few months. So, we think, we have a lot of flexibility to manage our liabilities and as to precisely what we will do, I will just ask you to stay tuned.
Mark Streeter – JP Morgan: Is there sense you can give us of the $5 billion coming due over the next couple of years, how much of that is aircraft related versus just straight corporate level debt?
Tom Horton: Very large portion of it, I would say the majority of it is aircraft related.
Mark Streeter – JP Morgan: And is it fair to assume that you feel pretty confident then that there’s an ability to refinance most of the aircraft related debt?
Tom Horton: Yeah. I think at this point we feel like we’ll have the ability to refinance debt and of course, as you know, our new aircraft deliveries are all fully financed through next year.
Mark Streeter – JP Morgan: Good. And just shifting gears for Gerard, just one question, with the change in leadership at the ATA. I’m just wondering if you can give us some color on your most recent dialogue with the new management team, obviously the old management team and you did not see eye to eye there or the old labor team there you did not see eye to eye with them and their leadership. I’m wondering, what has already changed? Have you invited them in and had more productive dialogue? We’ve read about, sort of the platform that the new leadership ran on? But I’m just wondering how quickly should we expect some progress there, something we can see from our end?
Gerard Arpey: Well, Mark, yes, I did, of course, reach out to the new leadership at the ATA and congratulate them on their election and they in fact responded with a very nice note back. And I’ve also invited them to participate in this thing we’ve been doing now. I guess I’m in the eighth year of setting aside one day a month for something internally we call a joint leadership team, which includes our senior management members and the leadership from all three unions and been doing that every month for since I’ve been CEO of the company and that doesn’t have anything to do with negotiations. It’s really an opportunity to share with the leadership of the unions the things that are going on in the company both the positive things and the challenges that we have. And for me to get some involvement from them in terms of their perspective on the direction of the company and let them have their two cents. And that’s been very, very productive for me. And I know that TWU has consistently participated, the flight attendants union has consistently participated, pilots historically have been in and out depending on circumstances and I’m not sure whether the new leadership will attend this meeting, I hope that they do. But, if they don’t, I’m still available to visit with them and listen to their thoughts and ideas about how we can become a stronger company because if we become a stronger company that’ll be good for our pilots. So, I’m looking forward to working with them.
Mark Streeter – JP Morgan: Great. Thanks, Gerard.
Gerard Arpey: Thank you, Mark.
Operator: Thank you. Our next question is from the line of Glenn Engel with Banc of America/Merrill Lynch. Your line is open, please go ahead.
Glenn Engel – Banc of America/Merrill Lynch: Good afternoon.
Gerard Arpey: Hey, Glenn.
Glenn Engel – Banc of America/Merrill Lynch: Question on if I take your $600 million number that’s about 3 points of margin. Yet, if I’m looking at your margins versus the industry, they seem about 5 or 6 points lower. So, where’s the other 2 or 3 points underperformance coming from?
Tom Horton:
Glenn Engel – Banc of America/Merrill Lynch: And can you talk about the timing of how the JVs now will get implemented now that you’ve got approval it seems?
Tom Horton: Yeah. So we have approval on the BA-Iberia deal. And we’ve had a long time to think about it, so we’re well prepared for the implementation. A lot of the customer facing effects will begin in October, things like closing the trans-Atlantic frequent flyer reciprocity, some joint selling activities. Later on in the year, we’ll accelerate the joint pricing and scheduling activity. And so the effects of that will begin to roll in later this year in a small amount. More significantly next year, I think by the end of next year we should have most of the over $0.5 billion benefit we talked about. And then by the end of ‘12 we would expect all of that to be fully in the run rate. So, we’re going to be moving very, very quickly to implement that and we think if anything our estimates are conservative.
Glenn Engel – Banc of America/Merrill Lynch: And is that from scheduling where the bulk of the improvement comes from?
Tom Horton: It is scheduling, pricing, joint corporate selling, frequent flyer, facility co-location, it’s got a lot of pieces to it. But it’s worth a lot of money and we really feel good about it because we have the best partners and we have the best locations and throw in JFK.
Gerard Arpey: Yeah. Glenn, I think…
Glenn Engel – Banc of America/Merrill Lynch: And have you been restricted in code sharing and when does that happen?
Gerard Arpey: I didn’t catch that.
Glenn Engel – Banc of America/Merrill Lynch: Code sharing.
Tom Horton: Yeah. We’ll be rolling out the code sharing that’s part of the implementation that will begin in October.
Gerard Arpey: And Glenn, I know we’ve been talking about this for a long time and of course, we’re going to need to prove to you and to your colleagues on Wall Street how powerful we can make this joint business agreement across the Atlantic and then likewise, the JVA we’re going to create with JAL across the Pacific. But I do think one thing to think about as well, is that it’s not just about us being able to compete more effectively with Star and SkyTeam, while that is of course the most important thing here, but I think one of the things people haven’t necessarily focused on is the fact that even though British Airways has been our partner for many years in Oneworld and our bilateral partner, which we have up until yesterday been competing with them. Because we’ve not been in different as to where customers ride whether they ride on British Airways or whether they ride on American Airlines. So, while we’ve had a very impactful and great partnership with British Airways, we have been fighting a huge battle to get customers to ride on American and not ride on British Airways even though they’re our partner and so, one of the first seminal things that happens in that deal is that we don’t care about that anymore. We’re indifferent. We’re metal neutral. What we’re now focused on is we want to take customers from Star and SkyTeam and put them either on British Airways or on American and that’s what we’re going to do and we’re really excited about that.
Glenn Engel – Banc of America/Merrill Lynch: Final question, I’m a little bit confused on the labor end on the ground workers. It seems like some of the unions, some of the ground workers, the union leadership is on board with the agreements and some of the agreements the union leadership seems to be pushing back against it. Can you talk about that?
Gerard Arpey: Well, Glenn, I think that is something that I’m not, I understand, what’s your question and I understand what you’re poking at there, but I don’t really have any wisdom I could bring to bear on that except to say that I do know there is, I guess some within the union as it relates to the fleet service side of the agreement that we reached that maybe ambivalent about that agreement. And so that’s just a fact. I don’t know exactly how that is going to play out going forward. I know we reached an agreement with the TWU on the fleet service side of the house. And there has been some discussion about whether that is architected in the best possible way and I think we’re continuing to have that discussion. So, I think, you’re just going to have to be patient and let that play out, but I do believe the mechanic in related side of the agreement is going to be voted on sometime soon in early August.
Operator: Okay. Thank you. And again ladies and gentlemen, please limit yourself to one question and one follow up. We do have our next question coming from the line of Will Randow with Citigroup. Please go ahead. Your line is open.
Will Randow – Citigroup: Good afternoon.
Gerard Arpey: Hey, Will.
Tom Horton: Hi, Will.
Will Randow – Citigroup: Couple of questions, the first one is on the cornerstone strategy, can you give us a sense of what the benefit was in the second quarter kind of your expectations for run rate? And also how we should be thinking about the benefits from your relationship with JetBlue?
Tom Horton: Will, on the cornerstone strategy, we’ve chosen not to breakout what the affect of cornerstone embedded in that $0.5 billion plus number that we’ve referred to. There’s obviously some interplay with the alliance benefits as well. But for the second quarter it would have been modest, quite modest. But I think it’s beginning to ramp up and I suspect next quarter it will be less modest. And on the JetBlue deal, early days, so we’re just starting on that. But, I think the opportunity is meaningful, early on, I would guess in the modest numbers several million dollars a year in the early stages. But there’s potential for us to do much more together and that’s something that we and our friends at JetBlue will be talking about.
Will Randow – Citigroup: And then, the second question, there are some comments out of the air show from avionic supplier regarding potentially airlines pulling airplanes out of the desert, doing heavy maintenance and putting them back to service. Have you guys thought about that? Do you know if any of your peers are doing that? It’s obviously very…
Gerard Arpey: That’s a really foolish thing to be thinking about and we’re not thinking about that.
Tom Horton: We wouldn’t recommend it.
Will Randow – Citigroup: Are you aware if your peers are thinking about that or no?
Gerard Arpey: No. We’re not aware of that.
Tom Horton: First time we’ve heard of that.
Will Randow – Citigroup: Okay. Thank you.
Tom Horton: You bet.
Operator: Thank you. Our next question is from the line of Hunter Keay with Stifel Nicolaus. Please go ahead. Your line is open.
Hunter Keay – Stifel Nicolaus: Thanks. Appreciate it. Tom, I believe you mentioned September bookings are shaping up pretty nicely, was that a comment on maybe just volumes or are you also seeing what you want to see with regard with some of the book to yields with that?
Tom Horton: I was referring to volumes. The yield numbers look pretty good too. But as you know, this far out what you have booked is generally not your best yielding traffic. So, it’s pretty hard to say how that mix is going to shape up until you get closer in. But certainly, the bookings look pretty good.
Hunter Keay – Stifel Nicolaus: And there’s no kind of anomaly on the yield then you’d say at this point, I mean, it doesn’t look?
Tom Horton: Not that we see at this point.
Hunter Keay – Stifel Nicolaus: Okay. Great. And Gerard, I’d love to get your opinion, your comments on this full convergence argument. The $600 million thing aside, I think that’s a separate issue, when you talk about your competitor’s sort of converging to your pay scale as we go through this next contract cycle. Are you discussing just simple wage rates or are you also factoring in things like productivity and scope handicaps too? Because I personally just don’t see a lot of convergence in those particular areas, they’re such hot button issues right now and that’s where you guys, I think, struggled maybe the most against your peers. It’s not necessarily just the rates, the hourly wages but the fact that your hands are so tied with scope and productivity. How do you see that contributing?
Gerard Arpey: Hunter, I think that’s fair. I think that means that we’ve got to do the job at the negotiating table explaining to our unions that handicapping their own company competitively against all these guys that have gone bankrupt is not in our company’s interest, it’s not in our pilots’ interest; it’s not in any employees’ interest. It’s simply going to make the company weaker. So, part of the convergence, part of this equation that we’ve got to work on is we’ve got to make the case that on some of these issues that you are highlighting on scope or on productivity that we’ve got to close those gaps and in fact, that’s in our employees’ interest to do that. Because under our internal vernacular, where we talk about flight plan 2020, our headline is be competitive in everything we do to secure jobs. Because in the long run that is the only way to secure a job is to be competitive. And you’re quite right that through all these bankruptcies, a lot of these guys changed their scope clauses, they got a great deal of flexibility and they’re using that today against us and against our employees’ interests. That’s bad. So, we’ve got to fix that and we’re determined to fix that. But we – and we can do that logically and we can do that in a constructive dialogue with our unions. And I think we made, in this current agreement that we have with the TWU, we made good progress on that front in terms of talking constructively with the Transport Workers Union, about competition from foreign repair stations and MRO’s here in the United States, where most of our competitors are taking all of their work. So, as you know, we do all of our maintenance at American Airlines. All of our airframes, virtually all of our engines, we outsource some of our engines, but the majority of our work is done in-house. That’s not the case for all of our competitors. So, part of our dialogue with the TWU was that in this contract, we’ve got to be mindful about our flexibility and our work restrictions at our maintenance bases and even in the line to improve our competitiveness. And that’s in our mechanics’ interest to do so and we’ve got a lot of good changes in this contract that will help us become more competitive if that contract is ratified and become competitive in a good way for our front line mechanics. So, I don’t mean to start rambling on this stuff, but you’re absolutely right. It’s not all about what the other guys do through the contract cycle. A big part of it is what we are trying to do at the negotiating table across all of these groups and that takes a lot of dialogue to understand what these companies did through their bankruptcies. But that’s what we’ve been doing for quite some time here and we are making some progress.
Hunter Keay – Stifel Nicolaus: That’s great. Thank you so much for that color, Gerard.
Gerard Arpey: You’re welcome.
Operator: Thank you. We do have our next question from the line of Jamie Baker with JP Morgan. Please go ahead. Your line is open.
Jamie Baker – JP Morgan: Yes. Good afternoon everybody.
Gerard Arpey: Hey, Jamie.
Jamie Baker – JP Morgan: Gerard, I think you were going in this direction in response to Kevin’s question earlier, but I was hoping to push you a little bit further. On the topic of the $600 million disadvantage gradually coming down, you stopped short of saying what would happen next. I mean, in your mind, is this just drive the results at other airlines down to the point that they can’t make money in the seasonally strong second quarter or is it driving another round of capacity cuts? Does it hasten the pace of consolidation? I mean, merely acknowledging that the relative advantage or disadvantage will moderate doesn’t really speak to then what you think happens next. Would you care to elaborate?
Gerard Arpey: Jamie, I think that’s fair. I think it’s something that you and I have talked about in the past. Of course, I need to be careful here any time I talk about the revenue implications of what I see happening going forward. But I do believe that a big part of this industry’s problem and by that I’m not just talking about American, the entire industry if you look at the past 10 years or indeed if you look even beyond that, in terms of the ability to generate a return on capital, much of the problem is on the revenue side of the equation. We don’t charge enough for our product. And I’m not trying to say anything that I shouldn’t from an antitrust standpoint. I think that’s a tenacious grasp of the obvious when an industry has lost tens and tens and tens of billions of dollars. You’re not charging enough to cover your costs. But part of that problem is the dislocation in this industry in terms of input costs. We had for a period of time in the industry one carrier that had a different fuel hedge paradigm than everybody else and so that particular carrier, I would argue, had a different – because they have different input costs they have a different outlook in terms of the way they look at prices. And today I think you can make the same argument as it relates to labor which is the biggest, setting aside fuel, is the biggest input cost to an airline’s cost structure. So you got all these guys who went bankrupt, hammered people’s pensions and hammered their retiree medical benefits, stuck the taxpayers and so they can charge less for their product. Is that good? Is that sustainable? I don’t think so. And so, if input costs become more level then the industry has the incentive across the board to recover its costs. I think that could be healthy for the entire industry. And so, if any of that made sense to you that’s where I think this leads. It doesn’t lead to dragging anybody down. It leads to an industry that is pricing its product high enough to cover its cost, produce a return on capital. And last, while I’m rambling here, I would say perhaps it does mean, it certainly means further constraint on capacity. And it may mean before this industry is done, that there has to be some more reduction in capacity depending on what happens with GDP here in the U.S. and around the world. So, end of that speech, sorry.
Jamie Baker – JP Morgan: No, no, I appreciate the color and I pretty much share those opinions. I guess the concern is that as your disadvantage begins to go away, discount carriers start to regain an advantage that they lost during the bankruptcy cycle. So, how does the behavior among those carriers potentially impact the dynamic that you just described? I guess that’s what I’m still wrestling with in part.
Gerard Arpey: Yeah. Well, that’s another angle on the whole question. But if you look at the margin of the network guys versus the low cost guys, that margin gap has closed considerably over the past 10 years as one of us has restructured consensually and the rest went bankrupt. If you look at the gap that is narrowed considerably and there’s a lot of cost pressure going on at the so-called low cost carriers. So, I think they’re being pushed in a similar direction. If you look at what happened with Spirit this summer, that’s convergence in action.
Jamie Baker – JP Morgan: That’s a good point. That’s a good point. All right. Great. Thanks for the color, I really do appreciate it.
Gerard Arpey: Thank you, Jamie.
Operator: Thank you. And ladies and gentlemen and members of the financial and analyst community, that does conclude your question-and-answer session for today.